Operator: Good morning, good afternoon, and thank you for waiting. We would like to welcome everyone to Ambev's Third Quarter 2023 Results Conference Call. Today with us, we have Mr. Jean Jereissati, CEO for Ambev; and Mr. Lucas Lira, CFO and Investor Relations Officer. As a reminder, a slide presentation is available for downloading on our website, ri.ambev.com.br, as well as through the webcast link of this call. We would like to inform you that this event is being recorded and all participants will be in a listen-only mode during the company's presentation. After Ambev's remarks are completed, there will be a Q&A section when we kindly ask that each participating analyst asks only one question. At that time, further instructions will be given. [Operator Instructions] Before proceeding, let me mention that forward-looking statements are being made under the Safe Harbor of the Securities Litigation Reform Act of 1996. Forward-looking statements are based on the beliefs and assumptions of Ambev's management and on information currently available to the company. They involve risks, uncertainties, and assumptions because they relate to future events and therefore depend on circumstances that may or may not occur in the future. Investors should understand that general economic conditions, industry conditions, and other operating factors could also affect the future results of Ambev and could cause results to differ materially from those expressed in such forward-looking statements. I would also like to remind everyone that, as usual, the percentage changes that will be discussed during today's call are both organic and normalized in nature and, unless otherwise stated, percentage changes referred to comparisons with third-quarter 2022 results. Normalized figures refer to performance measures before exceptional items, which are either income or expenses that do not occur regularly as part of Ambev's normal activities. As normalized figures are non-GAAP measures, the company discloses the consolidated profit, EPS, operating profit and EBITDA on a fully reported basis in the earnings release. Now, I'll turn the conference over to Mr. Jean Jereissati. Mr. Jereissati, you may begin your conference.
Jean Jereissati: Hello everyone and thank you for joining our Q3 earnings call. In our last call, I left you with two final messages. We were confident in terms of our ability to deliver operational leverage thanks to sustained commercial momentum and an improved costs and expenses outlook, but that we had less visibility in terms of industry volumes in Brazil and on the overall operating environment in Argentina. Looking at our Q3 results, it's great to see that the team delivered operational leverage once again, while industry volumes in Brazil and our business in Argentina were both resilient. In fact, our performance really came together in Q3. Net revenues grew roughly 19%, EBITDA grew nearly 44% and grew over 30% ex-Argentina, with 560 basis points of EBITDA margin expansion. Normalized profit grew about 25%, thanks to better EBITDA and better finance results. And cash flow from operating activities increased almost 30%, totaling close to $8 billion, which is about $1.8 billion ahead of 2022. Once more, it was great to see that our focus on the things we can control has continued to pay off. Let's look by geography, starting with Brazil beer. Industry was slightly positive while our volumes declined by about 1%, as we cycled the record levels set in Q3 2022. Premium volumes outperformed once again, while our core brands grew pretty much in line with the industry, and our value brands declined more than 40% versus last year. Our commercial strategy remains in good shape. Our premium and super premium brands grew low teams, led by Corona, Original and Spaten. We estimate we gained market share in the premium and super premium segment once again this quarter. Also, the continued investments in our brands led to another quarter of focused brand health improvement, with our premium and super premium brands improving in health metrics ahead of competition. Net revenue per hectoliter, excluding non-Ambev marketplace products, continued to grow ahead of inflation and grew 6.4%, thanks to revenue management initiatives, price increase carryover and positive brand mix. This is the fifth consecutive quarter of net revenue per hectoliter growth outperform inflation as we remain nimble regarding pricing decisions. EBITDA grew 35% with margin expansion of 720 basis points. Cash COGS per hectoliter, excluding non-Ambev marketplace products, actually decreased 2%, driven by expected effects and aluminum tailwinds, as well as more efficient supply chain given a better production and distribution footprint, contributing to a gross margin expansion of 340 basis points. And cash SG&A also decreased by 4% as continued investments in sales and marketing were more than offset by savings in distribution and administrative expenses. Turning to Brazil NAB, volume grew almost 3% with market share pretty much flat according to our estimates. The momentum of our health and wellness brands continued as our diet/light/zero brands grew volumes in the mid-20s, resulting in market share gains for this category, where we over indexed compared to non-alcoholic beverages overall. Pepsi Black continued to be the highlight, with growth above 90% versus last year and already representing over 20% of our diet/light/zero volumes. Net revenue per hectoliter grew 2.3% as our revenue management initiatives and price carryovers were partially offset by an increase in state VAT taxable base in certain states across Brazil and also package and channel mix. EBITDA grew 1% in the quarter with cash COGS per hectoliter growing 4.5% and cash SG&A up 5%. International operations also had a consistent performance overall, starting with CAC, where we remained steady on the recovery track. This quarter we lapped the toughest quarter of last year. As a recap, by Q3 last year we had solved most of our bottle supply constraints, however we faced a tougher than expected demand and inefficient supply chain given logistics and import needs. This time volume grew more than 13%, with Presidente in the Dominican Republic improving health and reaching volumes above Q3 2019 levels. Revenue grew 22% on the back of the continued recovery in the Dominican Republic as we see improved commercial execution in the country with overall client NPS above 75%. EBITDA grew by over 62%, with EBITDA margin expanding to over 37%. In last, the highlight is that preparation pays off. On one hand, top-line performance was primarily impacted by volumes declining in Argentina, where the highly inflationary environment continued to impact consumer purchasing power. On the other hand, cash flow generation in dollars, which has been a particular focus of ours in Argentina, was ahead of last year despite the 22% currency devaluation that took place in the mid-August. This shows that all the work that started back in Q3 2022 is being rewarded. The combination of reducing our financial hedge while also lowering dollars exposure in supplier agreements and readiness in terms of revenue management as well as costs and expenses management are making the difference. Outside Argentina, performance was driven by core plus and premium brands in Chile and Paraguay. All in all, LAS EBITDA grew 94% with gross margins expanding 200 basis points and EBITDA margins expanding 360 basis points. Lastly, Canada delivered stable EBITDA growth of 3.5% in line with H1 2023 and 310 basis points of margin expansion where a challenging industry was more than offset by revenue management initiatives and costs and expenses management. Commercially, our core plus and premium brands improved health and gained market share with a highlight to Corona that is the leading brand in the premium segment in the country. Before wrapping up, I would like to spend some time on our digital platforms. As this time last year, I mentioned that we were excited about the prospects of having BEES and Zé Delivery doing a memorable FIFA World Cup for our clients and consumers. And since then both platforms have continued to grow in the right way. Starting with BEES, this quarter BEES marketplace products totaled an annualized GMV of R$1.8 million, 32% above last year. Over 80% of BEES customers also benefited from the marketplace. The top three categories, food, non-alcoholic beverages and spirits had roughly similar weight in terms of GMV. As we've previously mentioned, we see that SKU per POC as one of the major growth opportunities for the marketplace and we've seen another quarter of evolution with 21% growth year-over-year as we continue to improve the user experience. As for Zé Delivery, this quarter awareness increased 25% versus last year. We reached 4.7 million monthly active users and GMV grew by 8% year-over-year. We more than doubled our coverage versus last year with Zé now available in more than 640 cities across Brazil. We continue to develop and expand our marketplace by increasing the assortment of products and brands available in the platform thus enhancing the consumer experience. This also represents a great opportunity to monetize the beer deliver network we build through a marketplace with accretive returns on invested capital to the company, similarly to BEES marketplace, and results have been promising. Year-to-date, we sold over 3000 non-Ambev SKUs on the marketplace, and about 20% of the orders contain at least one non-Ambev marketplace product representing low teens of Zé’s GMV. Given that this is our last call for the year, I would like to put our performance into perspective before wrapping up. You know I talk about our transformation journey since 2020 and how consistency is a priority for us. So I believe it's important to highlight how things are coming together quarter after quarter, despite all the challenges that have been thrown our way. Since the beginning of 2021, we grew net revenue double digits in all quarters. Thanks to our consistent commercial strategy execution, we delivered ten quarters of EBITDA growth, out of which seven were above inflation, despite FX and commodities headwinds and continued SG&A investments in the short and long term. And the EBITDA margins have expanded for the last four consecutive quarters. In closing, Q4 is always an exciting time for us, and I am looking forward to what my team has in store for the peak season with the arrival of summer in South America. As usual, we want to deliver a strong finish for 2023 and position ourselves well for 2024. So thank you very much. Thank you for your time. And now let me hand it over to Lucas.
Lucas Lira: Thanks, Jean. Hello, everyone. Our financial performance in the quarter illustrates well how our renewed focus around value creation is translating into results. I like to say to our team that there is life beyond EBITDA and that the way forward is to keep embedding into our decision making process greater focus around cash flow generation and invested capital. The changes we implemented in Argentina that Jean alluded to are a great example of this approach working well. But let me focus on our consolidated performance. We delivered in the quarter about R$ 4 billion of normalized profit, a 25% increase versus last year. In addition to our EBITDA growth, what made a big difference were our net finance results, which improved a little over R$ 400 million year-over-year. And within our net finance results, the biggest factor was the reduction in losses on derivative instruments. Thanks to our decisions relating to hedging in Argentina, namely structural reduction of our USD exposure and a shorter hedging time horizon, as well as lower carry costs in Brazil, we should continue to see a benefit for the remainder of the year, albeit to a lesser extent. Cash flow from operating activities totaled nearly R$ 8 billion in the quarter, which is about R$ 1.8 billion above Q3 2022. Year-to-date, we've delivered almost R$ 2 billion more than 2022. Performance improved across the board with better cash flow from operating activities in all regions, led by Brazil and CAC. And in terms of working capital, the highlight was around reduced inventory levels, particularly in terms of packaging and raw materials, which continued to improve year-over-year, given our team's focus and how much input cost pressures and supply chain disruptions in recent years adversely impacted our inventory cost going into 2023. Despite the stronger performance through September 30, Q4 is historically the most relevant quarter in terms of cash flow generation, so we still have a lot of work to do. Now, I want to turn to a couple of other relevant topics. Taxes and the exercise of the put option related to the Dominican Republic. Let me start with tax reforms in Brazil. As you may recall, the tax reform on consumption is intended to simplify the different federal, state and municipal indirect taxes, while not increasing the overall tax burden. The text approved by the House of Representatives is currently being reviewed in the Senate, and the amended text is expected to go to a vote in the Senate floor in November. We will be better positioned to comment further upon the final approval by Congress, which is still expected before year end. In our view, the focus of any tax reform should be on reducing the complexity of the Brazilian tax system and not increasing the total tax burden, which is already among the highest in the world. As for income taxes, there are two important updates. First, during Q3, draft legislation was finally submitted to Congress by the federal government regarding the deductibility of the IOC, the text is currently in the House of Representatives, and timing going forward remains unclear. However, it's worth noting that instead of the complete elimination of the IOC deductibility, the potential changes to the existing framework may also include either adjustments to the legal parameters for purposes of the calculation and deductibility of the IOC, or substitution of the IOC with an allowance for corporate equity mechanism. We will keep the market informed should the legislative process move forward. And the second important update is that the federal government also submits [indiscernible] of state VAT tax incentives. The potential implications to our business will ultimately depend on the nature and the extent of potential changes to the existing framework, which are still rather unclear and therefore may or may not have a relevant impact to the company. And regarding the put option in the Dominican Republic, last week we received notice that Empresas Leon Jimenes decided to exercise its put option that was set to expire next December with respect to part of their stake in our business in the Dominican Republic and certain other CAC markets. We expect the disbursement to acquire such stake to take place in January 2024 and should total approximately R$1.8 billion, subject to the terms of the existing agreements with Empresas Leon Jimenes. For further details, please refer to Note 27 to our financial statements. Finally, I would like to invite everyone to join our sustainability update, which will take place on November 23. In addition to providing an update on our progress in terms of sustainability initiatives, the idea for this year's broadcast is to also cover how for us, sustainability is about ensuring a solid governance and ethics framework for creating long term value. The program includes the participation of our senior management as well as representatives of our board of directors and fiscal council. That's it for me. Thank you and we can move to Q&A.
Q - Isabella Simonato: Thank you. Good afternoon everyone. Thank you for the call. I have a couple of questions. Jean you mentioned in the remarks that the cost performance for beer in Brazil was not only driven by FX and raw materials, but also by efficiencies right across the supply chain. So I was wondering if we could get a little bit more color on the contribution of each factor in another way. Right out of this 2% decline, what is the proportion that you attribute to lower raw materials versus the efficiencies you are getting? So that could be the first one. And the second one still on Beer Brazil, but I think we saw a lower than expected SG&A pretty much across the board. How can we think about this line going forward, right? Can we still think SG&A going up in line with inflation for 2024 or is there anything different that we should take into consideration? Thank you.
Jean Jereissati: Thank you, Isabella. So, yes, our VIC per hectoliter was pretty good in this quarter. Everybody was anticipating FX and commodities, but we have a lot of initiatives in place for us to really be structurally more efficient on overall costs on our company. Since the pandemic, we lost a little bit of efficiencies. In general, the supply chain was confused, the volumes were growing very fast, so we have a part of the past that we grew in a way that we were not that efficient, that we are getting the grip back. So a part of it is really efficiencies. Our pure price outside of FX and commodities is really below inflation with the deals and the contracts that we are doing with our suppliers. And overall, the footprint that we have been working in distribution and in the supply, it is getting much better. Once that – since 2020 you have been innovating a lot and now we had time to catch up, to really prepare all the breweries, the national footprint of production, of innovation, that when we put all the things together, they are really leading to this performance that goes beyond the FX and commodities impact. So there is a thesis P plus P, the price is better than inflation. There is a really piece that it is capabilities that we are driving, another piece is really overall efficiency in the supply chain, in the distribution footprint, okay. So, this is one thing. When we talk about SG&A, so in the end we are really tight, doing very disciplined across the board. But then when we look particularly into Brazil, one thing that we really changed and we don’t talk that much about it, it is that we have been growing and organized in a company that was designed to be very siloed. And we have been transitioning this company to be more of a platform, really to work with excellent centers to work more in a way that we would really protect customer and consumer experience with this Zé Delivery, with logistics. But we really reorganized the company backdoor in a way that we could be much more efficient in terms of administrative costs, in terms of structure in the company. So this was – had a big impact overall on our SG&A. This is very structural and it will continue moving forward.
Isabella Simonato: That’s clear. Thank you.
Operator: The next question comes with Robert Ottenstein with Evercore. Please go ahead.
Robert Ottenstein: Great. Thank you very much. Wondering if you could give us some details on the competitive environment in Brazil and in particularly the timing of your price increases, which usually come in kind of August, September, October, which – how much price are you taking and which price pack brands and what the competitive reaction is? Thank you.
Jean Jereissati: Thank you, Robert. So we are really – it’s really important for us, we are very focused on having a sustainable balance between volumes and net revenue per hectoliter really protecting the industry, really organizing ourselves to drive the trade up with our brands. And our medium and long term pricing strategy is unchanged. That we are really looking into disposable income, looking into the consumer more than the competitors to really decide on the pricing, and then try to over deliver with brand mix and with innovation. So this did change – did not change pretty much. But we are in a scenario where CPI is going down and we are understanding how this affects disposable income and we are being more nimble, more flexible to really guarantee that we maximize the top-line, looking at our consumer pocket. So, having said that, the industry is structurally better, the competitive scenario and competitive landscape, it is more rational in general. And we feel that this will continue. Of course, the Brazilian market was always very competitive, always has been very competitive. And we are more discounted or not at some point in time or not when you look at competitors. But somehow we see more rationality in general in the competitive landscape.
Robert Ottenstein: Thank you.
Operator: The next question comes with Thiago Duarte with BTG Pactual. Please go ahead.
Thiago Duarte: Thank you. Hello, Jean, Lucas, everybody. Yes, I would like to circle back to the beer [ph] Brazil business, Jean if you may talk a little bit about moving parts within the brand portfolio in Brazil. Right. I mean, many years ago it was really about the core and then in the last few years, there’s been this push towards the core plus. A lot of innovation happened there. But in the last few quarters it really feels that the premium and the way you call it premium and super premium brands are the ones that are really pushing the growth and gaining space, right? So just if you could comment a little bit, Jean, if you agree with that, if that’s how we should be thinking about the portfolio going forward and more towards, I would say the premium spectrum of it. Because it does seem at this point that core plus is the one that is along with value, as you guys mentioned before, the ones that are suffering a little bit more so. And still on this topic, you mentioned one more time this quarter about the brand power improving for the portfolio. So also if you could add a little bit on which segments, premium, core plus core, where you see that brand power improving and whether you feel it’s improving relative to your market share, right? Whether you are in that point where your brand preference is really starting to overcome your overall market share. So that would be the first question and this is the topic. And if I may follow up on the SG&A discussion, I appreciate your comments on the efforts you guys are making and so on, but if I could specifically talking about SG&A and the CAC division, so along with Brazil and Brazil Beer in particular, this was a strong positive surprise. So if I could – if you could help us understanding a little bit more where you are there and the elements behind the efficiency gains there, that would be great as well. Thank you.
Jean Jereissati: Okay. Thiago, so thank you for the question. Let’s talk a little bit about brand portfolio. So let me look a more long term basis, from 2000 from pre-pandemic levels to today, and we added up the new volume that we grew compared with 2019. So pretty much we grew one-third in the core, one-third in the core plus, and one-third in the high end in the premium. Okay. So when you understand this 15 million hectoliters that we grew, we break it down. It is pretty much growth in all these three segments. Okay, so this is an important information. So, having said that, we had this view of renovating reaccessing our portfolio. A piece of our strategy was to occupy innovate a white space in spaces of the future. And we have been doing this since 2019 and we are very excited and we are very proud about what we accomplished so far. Okay? So I foresee in the future that this will continue like that, the growth should continue like that. One third, one third, one third. There is not that we’re going to be towards one segment or the other. I believe on that. And what really changed a little bit, this equation in a way that we mentioned, it is that spotting was designed to be core plus, plus like entry premium over there and because it’s really selling more than we expected, we are really being very disciplined on discount. And then it went to the basket of the high end and then we are reporting its volumes on the high end, but it’s really in the entry premium over there. So this is really what changed in the conversation. But for the future, core plus is a relevant segment. We are playing alone in the core plus today. There is no other brand in Brazil in the core plus. So the other brands are premium or they went down all the way to core. So that space is still there. We are pretty much over there and we want to continue to bet on that. But we had material success in the high end. We are super excited about the success that we have been having in the high end. Corona is really doing well. So we had a shortage of capacity for a while and now we are unlocking it in Corona like the brand equity is really going up and spotting is a reality, is really doing very well too. So both are in the high end. Budweiser now, that is in the entry premium going into the core plus reignite itself in terms of brand equity is doing okay and in terms of volume, mainly because of the new packs that we launched, that they are more in better price points. So it’s really doing well and it’s in this core plus, plus entry premium now, because of the new packs. And then when we go beyond the mega brands that we talk, the core is really performing in line with the overall industry. So that’s good in the long term. So we should really accelerate this a little bit. But overall it’s doing okay. And overall talking about a broader portfolio volume in the innovation strategy that we have match there is adjacency that’s doing very well. We are leading the segment, the segment of zero beer doing very well, leading this segment too. So overall the portfolio is very well established, and I foresee the growth really coming from the three segments, from premium, from the core plus and from the core too. Okay. So this is one thing in terms of brand equity, we are really doing well with our focus brands. Brahma overall [ph] is a brand that’s very solid and then we have Spaten, Corona really doing well, really on fire. We see Original too, that is a brand that we have been expanding from outside the Southeast is doing very well in terms of brand equity. Stella is doing very well too. Budweiser has really reignited the volumes. We have a brand that is really the leading brand in specialties in Brazil that is Patagonia that we don't talk about that much, doing very well too. So brands overall the focused ones are really performing very well.
Lucas Lira: Thiago, this is Lucas. I'll take the second on SG&A and CAC. I think the first point to mention, Thiago, is that the approach towards SG&A for CAC follows the approach for SG&A that Jean mentioned for Brazil in his first answer. What I mean by this is the idea continues to be very disciplined and diligent, particularly around distribution and administrative expenses, in order to free up resources to continue to invest behind our brands in sales and marketing, okay. So that continues to be the prevailing logic across our different business units. With respect to Q3 in particular, the highlight in CAC was really lower distribution expenses year-over-year and that's mainly because last year we suffered a lot in the region given all the supply chain constraints that the region kind of went through, right. Let's not forget that CAC is comprised of several islands and where logistics are extremely complicated. And so as the supply chain constraints were removed we began to benefit from kind of a meaningful reduction in our distribution expenses for the region, okay. And that more than offset the administrative expenses that grew year-over-year, while also allowed us to keep investing behind our brands as part of our – as part of our plan for the year. And then my last comment here, Thiago is I think it's important just to take a step back and look at the year-to-date for SG&A as opposed to the quarter itself. And when we look at full year SG&A for CAC, the logic that I mentioned from the outset, I think is what we're going to continue to pursue, meaning strong focus in distribution and administrative expenses to free up resources and continue to invest in our brands behind sales and marketing expenses, okay.
Thiago Duarte: Yes, that's great. Thank you both for the color.
Operator: The next question comes with Ben Theurer with Barclays. Please go ahead.
Ben Theurer: Yes, Good morning and well, thank you very much for taking my question, and congrats on the results. Wanted to switch a little further south into Argentina, Latin America-south in general. Obviously, the trends here during the quarter have been much more pressured and kind of in line with what you anyway expected, but wanted to get your sense about how you feel about the region going forward, where you see opportunities to maybe reignite volume growth, particularly in Argentina. Are there any strategies you're thinking of, or is it an implementation, or do you just think you have to go through the challenges right now and time will heal some of the issues you have right now? Any update you have on that would be much appreciated. Thank you.
Jean Jereissati: So thank you very much. I will start Ben, first with ex-Argentina, okay. And the truth is that we cannot – we do not disclose exactly the numbers, but we have been doing very well in this region. And in Chile, Bolivia and Paraguay they are doing very well with a great performance. Overall Chile, we have been working for a while to really get critical mass. We invested in supply chain capabilities, local production. We gained the market share according to our estimates. And the efficiencies are really kicking materially. So our business is really getting much stronger over there. Bolivia, we have a renewal rate in our portfolio. They're launching new packs and new presentations and innovations, new products that are really igniting the country overall with our leading brand Paceña over there; and Corona doing very well too. And Paraguay has been a place where we have been for like four or five years right now, really compounding growth over there, so doing very well. So this is inside LAS, the performance is really solid in these three countries. When we go to Argentina, Argentina, we knew that the winter was coming right over there that the scenario of currencies, control and everything was something that at some point in time would change. And we were really trying to overprotect ourselves with financial instruments that was really consuming cash. So we really changed the way we operated over there. So we are really for one-year preparing for the volatility, for the changes on the macro scenario. And in the end during this year and the next, more important for us is really to go through this correction in a way that we can protect the business for the future, but really go through the turbulence. So we are pretty much looking more in terms of on the commercial side, on market share and brand equity. So these are the two things that is a must for us. But overall volumes this year and probably the next, it will be depending on the equation of how we should protect ourselves from a devaluation, from a cost increase, and this is a variable that is more free to move up and down in a way that we could protect ourselves from the macro scenario. So, having said that we are happy with our performance because we have been able to protect cash flow generation, in reality to increase cash flow generation, to change the way we're operating over there, thinking more how to protect the business operationally and not just financially. So we change the relation with suppliers, we change our price conduct depending on the forecast that we have. So we are happy and we feel strong to go over the volatility that looks already came a bit and it will come more. So volumes is the equation that can fluctuate that are more free. Market share is a must, equity is a must and cash is a must for us over there, and that's how we are operating moving forward.
Lucas Lira: Let me just add one point here, Jean. Ben, for illustration purposes we included in our release, if you go to Page 17, a simulation that we did regarding the impact on our year-to-date consolidated profit, right, of a potential devaluation of the peso – the Argentinian peso that took place in mid-August, right. Exclusively in terms of FX translation effects and the transactional effects caused by the FX exposure. And as per that simulation, right, the net impact – the net negative impact would be approximately of 2%, okay. Just to give – just to give a sense and put kind of the performance in perspective, okay.
Ben Theurer: Yes. That was very clear. Thank you very much, Lucas, and thanks, Jean.
Operator: The next question comes with Felipe Ucros with Scotiabank. Please go ahead.
Felipe Ucros: Thanks, operator, and good morning, Jean, Lucas and team. Thanks for taking my question. So, two questions that are really sort of related to the same issue around the value segment of your portfolio. So the first one that I wanted to ask is, how do you think about the Petrópolis situation and how that relates to the value segment? Is the value segment essentially going to disappear in Brazil? Would you guys sort of decreasing the focus on that and Petrópolis suffering? Is that forcing the consumers into mainstream? And then I guess a related question is how do you think about the importance of value? So you have delivered many quarters of very successful premiumization and as I understand it, value obviously hasn't performed nearly as nicely. So how do you think about the value segment of its importance if we were to go into an economic slowdown?
Jean Jereissati: So Felipe, thank you very much for the question. So we always had a very tactical play on the value segment. It was usually through line extensions like Antarctica Sub-Zero or like regional brands that we have for one state and for the other. So it was always played that it was more tactical than strategic for us in general and what really – because we know that there is a piece of the market that price points and so the affordability is really necessary, but our bet and our commitment is really with the core brands in the long-term, okay. So having said that, I think what changed it, it is that we had ISMART, for a while now, we have ISMART. ISMART play on the back side on the core segment. So we really reignited this strategy of returnable glass bottles, 300 ml and really gave the spec for the core brands more than to the value brand. The value brands, they are usually on cans. And then we brought this affordability to the core with the returnable strategy and this is really paying off. Okay? So and together with this strategy, we really unplugged discounts overall that made this segment really diminish in our volumes. Okay? But having said that, we see like Antarctica, a brand that is much stronger right now with this strategy. In the past we had Antarctica and Antarctica sub zero. Now, we see nationally Antarctica occupying this role and be more – and be stronger on that. We see Brahma that is like our leading brand is really with a piece of affordability on display, at some point in time, we had Brahma Refresh in the north, so we don’t have it anymore. Now Brahma has to really occupy this space in the mind of consumers and we have to have some packs that deliver the affordability. So yes, so we moved from a tactical play on the value to a more bold and strategic move on the core. And I think this will make the core much more resilient and sustainable for the next years.
Felipe Ucros: Very, very clear. Thanks a lot.
Operator: The next question comes with Alan Alanis with Santander. Please go ahead.
Alan Alanis: Thank you so much. JJ and Lucas, congratulations on the results. I’m going to shift gears completely with my two questions. The first one has to do with Canada. I mean, this is the first time that we see a double-digit volume decline in 12 years. Could you speak a little bit more of what happened in Canada and what’s the outlook? And the second and most important question, I think, is trying to understand your capital deployment, particularly cash back to shareholders thinking for Ambev. Let me contextualize this. Your parent company, ABI, announces a $1 billion share buyback program today when they are above three times net debt to EBITDA, and their stock is trading at a 50% higher multiple than Ambev. Ambev is sitting on more than $2.5 billion of net cash. He has no debt, and the stock is trading at a steep discount to ABI. So I guess the point blind question is, why isn’t Ambev also announcing a share buyback program if the multiple is at such a discount versus ABI? And you’re with over $2.5 billion of net cash? Thank you.
Lucas Lira: Hello, Alan, Lucas here. Thank you for the questions. Regarding Canada. You’re right. It was indeed a very tough quarter from a volume perspective. When we break that volume performance down by driver, more than half of that was really the industry. Okay. And within industry, it was a combination of less household penetration, very poor weather throughout the quarter, not only in terms of precipitation, but you had fires in Ontario, you had floods in Nova Scotia, in Quebec. So weather for sure did not help, number one. Number two, less household penetration also did not help. Number three, there was also some kind of destocking in the trade over the course of the third quarter, okay, and all this kind of impacted the industry as a whole. In addition to that, we underperformed the industry. And one of the main impacts there was the fact that we cycled a very strong performance, market share wise during the summer of last year. So in Q2 and Q3 of last year, we managed to gain market share during the summer season. There were some disruptions in the market in terms of strikes and so on and so forth. And we managed to perform better from a market share perspective. And as we lapped that tough comp, it was a record market share performance for us in Canada last year. And so as we lapped that, obviously we had a higher watermark. But when you break share performance down by segment, what we think is important to stress, right? Because you talked about going forward, how to think of things is that Canada is a premiumization strategy. And when you double click into our not only market share, but also brand health performance, what we’re finding in the numbers is that both core plus premium and super premium brands continue to trend consistently, extremely well. In case of premium, super premium, Corona is the highlight. In case of core plus, Michelob Ultra is the highlight. So yes, short term, very tough industry, different drivers, but market share where our strategy is kind of focused, which is premium, super premium or above core. Better said, we’re confident in the strategy and how the team has been executing that’s a Canada. The Canada the Canada question. Regarding capital deployment, Alan, we have this conversation right from time-to-time. The thought process on our end remains the same. This is a regular conversation that we have internally that we have with our Board of Directors. Historically, discussions around capital structure, discussions around returning excess cash to shareholders is kind of a year-end conversation that we have with our board. So this is a one point to keep in mind. As I mentioned, the thought process continues to be the same despite all the cash that we carry today. As we see opportunities for good returns on investment behind organic opportunities, we will continue to deploy cash towards that. Part of the cash also, right can be deployed for growth opportunities, inorganically. I mentioned in my prepared remarks that we anticipate, right that at the beginning of next year, we will have a cash disbursement of approximately R$1.8 billion in connection with an M&A deal, right that we struck many, many years ago. And the time has come, right to acquire an additional piece of the stake held by Empresas Leon Jimenes. So capital is going to be deployed to fulfill our obligations under that agreement. And we continue to have dry powder, right for kind of selective M&A with good return on investment going forward. And number three, return excess cash to shareholders after we’ve kind of looked at the organic and inorganic strategy that we have. So that thinking hasn’t changed. One of the lessons that we learned over around COVID was around the importance of protecting liquidity. I think one of the reasons that we managed to come out stronger of the pandemic was really around the liquidity cushion that we enjoyed or we built before, during, and after the pandemic. So we continue to be very conscious of the need to be perhaps conservative around liquidity. But for us, in the type of markets that we operate in and in the current environment, the world that we live in today, we continue to see value in having a good amount of liquidity. And then finally, when we think about returning excess cash to shareholders, we consider dividends, we considered IOC, we consider buybacks from time to time as part of our equation. And to date, given the tax deductibility of the IOC, the view has been to continue to prioritize returning excess cash to shareholders in the form of IOC. To the extent the IOC is no longer deductible, then we will have to take into consideration what’s the balance between dividends and share buybacks. But for so long as the IOC remains deductible, our thinking is to continue to maximize the IOC. Thank you.
Alan Alanis: No, thank you. I appreciate it. Thank you so much, Lucas. 
Operator: Thank you all. Ladies and gentlemen, this concludes today’s question-and-answer session. I would like to invite Mr. Jean Jereissati, to proceed with his closing statements. Please go ahead, sir.
Jean Jereissati: Thank you all who joined the call for your time and attention. Since the pandemic, we have been able to deliver consistent results despite challenges we faced. Brazil is really solid, continues leading the way with a sound commercial strategy. CAC it was a very strong quarter and remains on its recovery path. We have been doing our homework to go through what’s going on in Argentina, and it has been paying off. Ex Argentina, the business is very solid with momentum. And finally, we will continue to work towards delivering growth and profitability in H2, as well as better organic EBITDA growth in 2023 than the 17.1% that we did delivered in 2022. So thank you very much and I see you in our Sustainability Update in November. Have a great day. Thank you.
Operator: That concludes Ambev’s audio conference for today. Thank you very much for your participation. Have a good day and thank you for using Chorus Call.